Operator: Greetings. Welcome to TrueBlue Fourth Quarter 2022 Earnings Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] Please note, this conference is being recorded. I will now turn the conference over to Derrek Gafford, Chief Financial Officer. Thank you. You may begin.
Derrek Gafford: Good afternoon, everyone, and thank you for joining today's call. I'm joined by our Chief Executive Officer, Steve Cooper; and our President and Chief Operating Officer, Taryn Owen. Before we begin, I want to remind everyone that today's call and slide presentation contain forward-looking statements. All of which are subject to risks and uncertainties and we assume no obligation to update or revise any forward-looking statements. These risks and uncertainties, some of which are described in today's press release and in our SEC filings, could cause actual results to differ materially from those in our forward-looking statements. We use non-GAAP measures when presenting our financial results. We encourage you to review the non-GAAP reconciliations in today's earnings release or at trueblue.com under the Investor Relations section for a complete understanding of these terms and their purpose. Any comparisons made today are based on a comparison to the same period in the prior year, unless otherwise stated. Lastly, we will be providing a copy of our prepared remarks on our website at the conclusion of today's call, and a full transcript and audio replay will also be available soon after the call. Okay. Now let's turn the call over to Steve.
Steven Cooper: Thank you, Derrek, and welcome everyone to today's call. First, I want to welcome Taryn Owen to the call. Taryn joined PeopleScout in 2010 and has served as President of PeopleScout since 2012. Taryn has also served as President of PeopleReady since 2019. In 2022, Taryn became President and Chief Operating Officer of TrueBlue. In this new role, Taryn is responsible for all operating brands, along with our people and technology strategies. We plan to have Taryn join us going forward to offer additional insight into our operational performance along with our people and technology strategies. Before discussing our fourth quarter results, I'm going to take a moment to reflect on 2022. The year was marked by one of change, not only at TrueBlue but also within the business environment. Since returning as CEO in June, what has been clear is the strength of our people who possess an unwavering commitment to serve our clients and the people we put to work. As we started the year, demand for our services was high as clients needed supplemental labor to support growth. As the year progressed, the impact of inflation, combined with higher interest rates fueled economic uncertainty, leading certain buyers to take a wait-and-see approach to hiring. However, the labor market has remained historically tight with over 10 million job openings across the United States, many of which are for blue-collar positions in which we specialize. Despite the economy slowing in 2022, I'm pleased with our performance over the past 12 months with revenue growth of 4% and operating income growth of 5%. Moving onto results for the quarter. Total revenue was $558 million, down 10% compared to Q4 2021. Results across the business segments were mixed. We saw steady underlying revenue trends at PeopleReady and at PeopleManagement in Q4. At PeopleScout, we started to see the need for permanent staff at our clients begin to slow. While operating income and margin were lower due to the decline in revenue, we maintained pricing discipline at our staffing segments and remained focused on costs across the Company. Turning to the segments. PeopleReady is our largest segment. It represents 57% of total trailing 12 months' revenue and 59% of total segment profit. PeopleReady is a leading provider of on-demand labor and skilled trades in the North American industrial staffing market. We service our clients via a national footprint of physical branch locations along with consolidated service centers both supported by our JobStack mobile app. Revenue for the quarter was down 13%. If you recall In the fourth quarter of 2021, PeopleReady benefited from a demand surge across the business, as our customers found themselves in desperate need for labor during the peak of a post-COVID recovery creating a year-over-year headwind this year. Setting this factor aside, our sequential revenue trends remained consistent with typical historical patterns. PeopleScout is our highest margin segment representing 14% of total trailing 12 months' revenue and 30% of total segment profit. PeopleScout is a global leader in filling permanent positions through our recruitment process outsourcing services. PeopleScout revenue declined 16% in Q4 this year. Changes in demand for RPO services typically lag our traditional staffing business. We're seeing this dynamic play out today, which is being compounded by more normalized hiring volumes. PeopleManagement represents 29% of total trailing 12 months' revenue and 11% of total segment profit. PeopleManagement provides onsite industrial staffing and commercial driver services in North America. The essence of a typical PeopleManagement engagement is supplying an outsourced workforce that involves multiyear multimillion-dollar on-site and driver relationships. Revenue was down 2% in Q4 with monthly revenue trends holding steady throughout the quarter. I'm going to spend the next few minutes talking about our strategies and will then pass things over to Taryn to talk about a couple of our operating priorities for 2023. Our strategy at PeopleReady is to digitize the business model to gain market share and improve efficiency. The United States temporary day labor market is highly fragmented with the bulk of the market made up of smaller companies in the industrial staffing segment where PeopleReady operates. These smaller more regional companies not only lack an expansive branch network but also are typically unable to invest in digital applications like JobStack with over 90% associate adoption and 30,000-plus client users. JobStack provides a frictionless user experience for associates and clients and has driven operational efficiencies. The technology and the brick-and-mortar combination makes us a one-stop shop for national and local accounts and is what makes us a leading provider within the on-demand industrial staffing market. We believe the market for general labor has the best opportunity for digitalization as it is less complex than other types of staffing. And by further investing in JobStack, we will be able to increase our traction and improve our appeal with clients and associates. At PeopleScout, our aim is to capitalize on a strong brand reputation and ability to hire in high volumes to gain market share within the RPO industry that has consistently produced double-digit annual revenue growth in favorable economic conditions. In 2022, PeopleScout achieved record revenue as companies sought our expertise to find talent in tight labor markets. A big reason for the success was Affinix, our recruiting platform which has allowed us to place better talent faster. As we move forward, we plan to further diversify our hiring mix and target high-growth sectors such as life sciences and technology. Our positive track record penetrating healthcare, depth of experience and Affinix make this possible. PeopleManagement strategy is to supplement our traditional on-site staffing services with higher-margin product offerings, like on-site workforce solutions and commercial trucking and expand geographically within the United States to increase market share. Now I would like to turn the call over to Taryn, who will discuss specifics on some key priorities as we enter 2023.
Taryn Owen: Thank you, Steve. I'm pleased to be here today to provide some insight on key priorities that are underpinning our strategy. Before I get into the details, I want to share some bigger picture perspective on how we are approaching our priorities. As Steve mentioned, we have been on a multi-year journey to digitalize our business. This strategy is based on worker expectations for fast and frictionless access to jobs and client requirements for efficient access to talent and to recruiting and staffing platforms that offer a superior candidate experience. At the same time, we are a people business, and our relationships with our clients, candidates and associates remain essential. Our field team members, salespeople and recruiters, all play a vital role in building those relationships and we are working hard to ensure that our teams have the tools and resources they need to succeed. By striking the right balance between relationship-driven service and technology enablement, we will remain well-positioned to help our clients access the talent they need through our on-demand and outsourced solutions. So it should come as no surprise for 2023 that our people and technology will remain the primary focus for TrueBlue. We are a people business. So, ensuring that we have an engaged and high-performing team is a top priority. In order to attract and retain talent, we continue to build and enhance program designed to enrich our employee experience and to emphasize learning and development. We are also making focused investments in new positions to maintain sustainable staffing levels and strengthen our ability to deliver the services our customers expect. We are augmenting learning paths and development planning across the business. For instance, an important focus in 2023 will be ensuring our sales training is scalable and repeatable in all sales roles throughout the organization. With this training, we emphasize effective client interactions and win angles, as well as a thoughtful approach to driving repeat business and customer reactivation, coupled with training and development are targeted investments in field-based positions to provide greater geographic and vertical coverage. At PeopleReady, we are placing account managers in new markets to capitalize on staffing demand in skilled trades. We are also providing our branch managers with expanded sales training and increasing our capacity to sell our services. At PeopleManagement, we will continue to target market expansions to respond to ongoing demand for drivers. And finally at PeopleScout, we are augmenting our sales team to enable greater specialization in the healthcare vertical. These investments are directed towards increasing sales activity and enabling operational excellence. This will enable us to capture topline growth in the short term and will ensure that we are well-positioned to expand market share when our customers return to growth. Now shifting to technology. It is imperative we continue to invest in platforms to better service our clients, attract workers and support our people. Through our PeopleReady JobStack application and PeopleScout Affinix recruiting platform, we have brought differentiated experiences to those we serve. With JobStack, we are focused on improving the associate experience in the near term. We are making upgrades to the application, which will allow associates to register faster and reduce the time it takes to get them to work. We are improving the ease of time entry, so our associates can be paid more quickly. And finally, we will be introducing conditional dispatches. This functionality allows associates to accept a job prior to fulfilling all requirements such as documentation of a specific certification and to subsequently be dispatched once they have met the requirements. These product enhancements are aimed at improving the quality and quantity of supply. They position us to improve associate retention and increase our client fill rate, both of which will lead to higher customer satisfaction and ultimately, more wallet share. Affinix is our PeopleScout recruiting platform designed to meet candidate expectations for a seamless experience. Affinix combines many facets of the recruiting process, including recruitment marketing, applicant tracking, candidate relationship management and interviewing to quickly bring a highly qualified talent pool to our clients. Affinix has been instrumental in securing new client wins, renewals and expansions. And as we look forward, the relevance of Affinix will continue to increase as clients further prioritize the candidate experience, providing us with a catalyst for future growth. I look forward to providing an update on the progress we make on both fronts on future calls. I'll now pass the call over to Derrek who will share further details around our financial results.
Derrek Gafford: Thank you, Taryn. Total revenue for Q4 2022 was $558 million, a decrease of 10% compared to Q4 last year. As Steve mentioned, PeopleReady benefited from a demand surge in the prior year period as the peak of the post-COVID recovery left our customers in desperate need for labor. As expected, the surge did not repeat this year, contributing 6 percentage points of total revenue decline year-over-year. The remaining four point decline reflects the Company's underlying revenue trend, a decrease from our third quarter 2022 total revenue results, which were flat. In the fourth quarter, our PeopleScout business experienced lower volume from existing clients and to a lesser extent, so did our PeopleManagement business. As you might recall, our PeopleReady business was the first business unit to see a meaningful reduction in demand earlier this year. PeopleReady is typically where we first see an impact from macroeconomic conditions given the short duration and supplemental nature of the job assignments. We were pleased to see stable weekly sequential revenue trends for PeopleReady during the fourth quarter that were in line with typical historical patterns, which has continued into January. Net income declined 65% and adjusted EBITDA declined 42% while net income and adjusted EBITDA margins declined 190 and 200 basis points respectively. The decline in profitability was primarily driven by the revenue decline, operational deleveraging associated with the revenue decline, and changes to business mix given the larger drop in revenue within our PeopleScout and PeopleReady businesses, which carry a higher margin than our PeopleManagement business. Adjusted EBITDA margin contracted less than net income margin due to certain PeopleReady technology costs, which were excluded from our adjusted results. Gross margin for Q4 2022 of 26.5% was down 30 basis points. As mentioned earlier, a change in business mix had a contracting impact on gross margin, which was partially offset by lower workers' compensation expense, and a positive bill pay spread. The better workers' compensation results are from a combination of favorable development on prior year reserves and fewer workplace injuries this year. The positive bill pay spread results are due to disciplined pricing efforts in our PeopleReady business. SG&A decreased $4 million or 3% compared to Q4 last year as we remain focused on cost management. SG&A increased as a percentage of revenue due to operational deleveraging associated with the revenue decline. Our effective income tax rate was a benefit of 1% due to hiring tax credits exceeding the income tax expense associated with our pre-tax income. Now, let's turn to the specific results of our segments. PeopleReady revenue decreased 13% while segment profit decreased 18%, and segment profit margin was down 50 basis points. As we've mentioned, PeopleReady benefited from a demand surge in the prior year period, which accounted for 11 points of the year-over-year decline. The remaining decline of two points reflects PeopleReady's underlying revenue trend for the quarter, which was roughly in line with the total revenue decline for this business unit in Q3 2022. The drop in segment profit and related margin came from the revenue decline and operational deleveraging, which were partially offset by lower workers' compensation expense and favorable bill pay spreads. Pay rate inflation in the PeopleReady business has moderated during the back half of 2022, yet bill pay spreads have continued to be robust. Bill rates grew 8.4% while pay rates grew 6.4% resulting in a positive spread of 200 basis points. PeopleScout revenue decreased 16% while segment profit decreased 78%, and segment profit margin was down 10 percentage points. During the quarter, we saw RPO business volumes at some clients revert back to pre-COVID levels while others reduced hiring as a result of the macroeconomic environment. In addition, we made a revenue reserve adjustment which dropped straight to the bottom line. Segment profit and related margin were down due to the revenue decline, revenue reserve adjustment and operational deleveraging. PeopleManagement revenue decreased 2% while segment profit decreased 8%, and segment profit margin was down 10 basis points. Monthly revenue trends were steady during the quarter performing in line with historical patterns. The decline in segment profit and related margin was mainly due to the decrease in revenue. Now let's turn to the balance sheet and cash flows. We finished the year with $72 million in cash and no outstanding debt. The business is producing strong cash flow with full-year cash flow from operations totaling $121 million and we returned $61 million of capital through share repurchases during the year, leaving $89 million authorized. Now I'd like to take a moment to provide additional color on some forward-looking items. We expect a revenue decline of 18% to 13% in Q1 2023. Similar to Q4 of 2022, Q1 of 2023 is also facing a demand surge of 7% in the prior period comparison, which translates into an underlying revenue decline of 8% based on the midpoint of our Q1 2023 outlook. The Q1 2023 underlying revenue decline is expected to be a bit larger than it was in Q4 2022. This is primarily due to an expectation of less year-over-year growth in our green energy business in Q1 2023 associated with the inherent lumpiness in the timing of projects rather than a more pessimistic view of future revenue opportunities. As we look forward, Q2 2023 will also face a headwind of four points due to the demand surge in the prior year. I will also highlight one change to our adjustments to net income. As we transitioned certain on-premise technologies to the cloud, we felt an adjustment for Software-as-a-Service amortization was helpful for comparability purposes. Now that this cost has somewhat stabilized, we will no longer be including it as an add-back in our adjusted net income calculation. However, it will continue to be included in our adjusted EBITDA calculation given that these costs are reported in SG&A and are taking the place of depreciation for former on-premise technologies. One last item before we wrap up. As a reminder, the 2023 fiscal year will have 53 weeks, which is a typical occurrence every five to six years since we operate on a 52-week fiscal year versus a calendar year. This extra week will provide incremental revenue for the year of $22 million to $27 million but will not contribute additional profit as it is an annual low point for weekly revenue. For additional details on our outlook, please see our earnings presentation filed today. This concludes our prepared remarks. Operator, please open the call now for questions.
Operator: Thank you. [Operator Instructions] Our first question is from Kartik Mehta with Northcoast Research. Please proceed.
Kartik Mehta: Hi, good afternoon. Derrek maybe or just any - I guess, anyone on the management team, I apologize. Just your thoughts on kind of the economic outlook I know, I think you've talked about labor market being tight obviously. And I'm just wondering, in relationship to kind of where the - where you thought the economy was maybe in the fourth quarter, or you kind of see it now, and just thoughts going forward?
Steven Cooper: Hi, thanks, Kartik. This is Steve. I think that's in the middle of a bull's eye that question about where are we going in and how fast in this economy and as Derrek said in his remarks, it's hard to grow this business without a good economy. And we've all seen the impact of interest rate and the slowing that has done. But we've also seen this powerful news in how many job openings that we have. So, balancing those two and trying to figure out where spend will be is part of our supply and the resources in the right spot at the right time. We're feeling good about it that this trend at labor - or the PeopleReady has been on of consistency for over a quarter, four, five months of pretty consistent pattern except for the prior year surge that Derrek called out. That gives us a lot of confidence that we are participating in a pretty good economy where we are, except for the prior year's surge that it happened. Second to come with that is full time hiring and these positions are open, yet, there's a lot of companies that are - I don't know if it's a freeze is the right word, but some caution in their hiring is out there that we know of. So we're in a spot of, I don't know if we're at equilibrium yet that we're ready to start growing through all of it. But we're pretty happy with where our industrial staffing business sits and we're watching carefully where our RPO business sits. And that's what I'll say about that. So the interest rates have definitely hurt buying activity and the movement of goods and we'll see where that ends up later in the year, too. Derrek wants to add anything to that.
Derrek Gafford: I'll add a little bit too. I'm glad you asked the question, Kartik. We're looking into 2023, we're still approaching it with caution, we're planning our business that there's going to be softer macroeconomic conditions. We think that's a prudent thing to do. However, where we stand today, if we're talking about, well, how are we feeling today about the future for 2023 to where we were a quarter ago? We are incrementally more optimistic about it from where we were. As Steve mentioned, the activity that's going on with jobs. I mean the number of open jobs just went up to 11 million. The job hiring activity has been relatively strong and then we saw the ADP report they say that's where the result stay tuned on that, but if you take a look at that and a strong GDP quarter that just finished, given all of the interest rate hikes and inflation coming down. So it's just suggesting to us from what we can see the labor markets, which we think is a really important part of the economy is navigating its way through some of these challenges that have been presented this year. So I think that's our overall take right there.
Kartik Mehta: No, that's helpful. And just one last question, just on SG&A, if there is an unfortunate incident and the economy starts kind of trailing off faster than anybody is anticipating, I guess, how quickly can you adjust on cost and how quickly would you?
Derrek Gafford: Well, I think it would depend on what we actually experience in the severity of a downturn. As I talked about earlier, we are expecting softer macroeconomic conditions. However, we put out annual guidance for at least on the SG&A line, that's relatively close to what - how we finished up 2022. We took $40 million of cost out in 2020, $30 million of that still sits rolling outside of our cost structure. A lot of that's in the PeopleReady business. So we've really, slimmed that business down to the minimums of what it takes to keep these operations open. Yes and so cutting anymore there we're really concerned for if we cut $1 of SG&A, we're going to lose even more in gross profit dollars. And so, we're really trying to look at managing this business to maximize the amount of profit over complete economic cycle and with where labor conditions are and the tightness of the labor pool that's not just for our customers, it's for us too. And as much advancements that we've made from a digital perspective, from a technology perspective, we still need people and relationships with customers. It's sold face-to-face, things happens service-wise that need adjustments, we need good people that know our business, know our technology, know our processes and most importantly, our customers' needs change through the year. We have to stay close to that. So we're being very mindful to not take that too far. Now, if we get into a - deeper darker recession, we're going to have to take another look at that, but that's not in our plans as we sit here today.
Steven Cooper: Yes, and I appreciate the question there Kartik, because of the balance with your first question on the thoughts to the outlook. The fact that we're playing this SG&A card to run strong and keep - and as Taryn had mentioned, keep people trained and keep our staff in line is - we're playing the card that we believe we're ready to balance and that we're ready to take advantage of the upswing. Your second question though is how fast we can react if something different happens. And really built into our model is that our recruiters - at PeopleScout, that's a variable cost and to some degree, dependent on how bad it gets - at PeopleReady that becomes a variable cost based on how many branches we have running and how many people we have in those branches. So we have a lot of variability and then all of our bonus programs that we're paying these recruiters and staffing specialists is all on a variable model also. So this will ramp up and down and we'll watch very closely. But for now, we like the card we're playing because we want to be ready on the bounce back.
Kartik Mehta: Perfect. Thank you so much. I really appreciate it.
Operator: Our next question is from Jeff Silber with BMO Capital Markets. Please proceed.
Jeffrey Silber: Thanks so much. And I just wanted to welcome Taryn to the call as well. Before I ask my question, I just wanted to state something publicly. It looks like the data services had an incorrect estimate for us for the quarter. We were actually at $0.38, not the $0.69 that they show, which mean consensus was probably closer to $0.41, not $0.52. Because the headlines say that you missed report - consensus estimates. You might have actually reported it slightly, we're trying to have this corrected, but I just wanted to let everybody know that first. Just moving on to my question...?
Steven Cooper: Yes appreciate it. Yes, thank you.
Jeffrey Silber: Yes, no worries, just moving on to my questions. Can we talk about trends intra-quarter and what you've seen in January? If it's possible to give that by segment, that'll be great?
Derrek Gafford: Yes let's talk about it. Our PeopleManagement, the quarterly trends were very consistent actually for all three segments. The quarterly trends, or excuse me, the monthly trends were pretty consistent throughout the quarter. So there's nothing really to point out through the quarter. Now as we go into January that continued for the PeopleReady business. The underlying trends still hold are holding up quite steady our PeopleManagement business was low single digit in growth in the fourth quarter that held on a monthly basis going in the first quarter, though, we're seeing some softening there. We've got clients that are in retail and transportation that they're just saying, we're expecting to have a little bit lower volumes retail held up quite well in Q4 compared to their original expectations, where they're going to be. But some of that was through discounting promotions of inventory, which won't carry into the first quarter and for PeopleScout, we don't bill on a weekly basis. As you saw from our results here in Q4, we were down about 16% in Q4. We're looking at about the same trajectory in Q1. Now, I will say that People Scout 16% decline, half of that was from one client that is having its own challenges. We're still expecting though about the same amount of revenue decline in our outlook for the first quarter for January. We're seeing clients coming back and saying, hey, we're just - we're going to hold for this month. We're going to delay till next month. So there is some softness coming from that. But I'll also say we're not surprised by that. Our PeopleReady business leads. It has - we saw that in the second, third quarter, we talked about that holding steady and seeing some softness following in the perm area is not a surprise to us at this point.
Jeff Silber: All right. That's helpful. If I could dig down a bit further in PeopleScout. I don't think you broke that brand out separately in prior recessions, but you had it during the pandemic, and looking at my model, PeopleScout revenues fell over 40% in one quarter but recovered fairly quickly. Should we expect that kind of volatility if we are heading into a recession? Would this be the most volatile of your three segments?
Derrek Gafford: Well, I would be really surprised if we had anything as volatile as what we had in 2020. Now, remember, when we had that significant decline that you just mentioned, most of that was around different forms of hospitality. Airlines, hospitality, hotels, that was a third mix of our business and as you know, in 2020, that segment got really hammered. So I wouldn't expect that kind of volatility. Now the PeopleScout business in and of itself is a little bit more lumpy because the revenue per customer is - the proportions to the total revenues is a higher, there's not near as many customers there as there is in, say, a PeopleReady business, so it can be lumpy at times, but I wouldn't - I'd be really surprised to see that kind of revenue decline again on a year-over-year basis.
Jeff Silber: Okay. That's really helpful. If I could just sneak in one quick one. You mentioned a revenue reserve adjustment in PeopleScout in the quarter, can you just quantify what that was for us?
DerrekGafford: Sure. That was maybe about $3 million. When it comes to revenue recognition for our PeopleScout business is pretty straightforward. We go and find candidates, we turned over some candidates to hiring manager, they select one, and right around that point, revenue gets recognized. Now with that said, we do have other agreements with those same customers around volumes - annual volumes that have to be estimated, certain turnover ratios, different things that are built into these. So we've always had some form of what we refer to as a revenue reserve adjustments that are made. It's usually a few little ones that go one way, a few that go the other way. This particular quarter, they just all seem to go one way. So this is the first time that we've talked about it in 10 years and I wouldn't be surprised if we didn't talk about this for another 10 years.
Jeff Silber: Hope so. All right. Thanks so much.
Operator: Our next question is from Mark Marcon with Baird. Please proceed.
Mark Marcon: Yes. I just want to follow up on some of Jeff's questions. With regards to just PeopleScout, Taryn, welcome to the call. I'm wondering, given your expertise in the area, can you describe a little bit more about like what you were seeing there, just in terms of the one large client that accounts for half? Is that kind of a temporary one-time thing or were they just over-hiring post-COVID and now it's getting back to normal? And then what did you see with the other players, and were there any clients that have been lost or anything along those lines?
Taryn Owen: Thank you so much for the welcome. Excited to be here. Related to the customer that have the decline this quarter, it's a large retail customer who had declining volumes within their business in the quarter. We hope this customer with their surge hiring during the holiday season and during other periods of surges within their business. So we had a combination of a couple of things going on. First, they didn't need to hire as many people. And secondly, they didn't have as many people that are on staff busy with work on the sales floor. And so they have those individual supplements by doing some recruitment themselves. So that's what drove that decline in this quarter with the large customer.
Mark Marcon: Great. And then what are you seeing with the others? Is it fairly steady? And have you retained all of your customers? Are there any sort of contracts that might be terminated or winding down or anything along those lines?
Taryn Owen: Yes. I would say just overall, the sentiment that we're hearing from our customers is really around uncertainty about their short-term staffing needs. And so, in RPO specifically, customers were seeing a lot of activity from first-time buyers. They're really interested in getting support with their hiring. However, they have been slower to make long-term hiring decisions. So we're seeing a surge in some of our shorter-term offerings like recruiter on demand and some project RPO work where we're able to support our customers rapidly with their needs now, while they sort through what their hiring volumes are going to be for the long term. But otherwise, as Derrek mentioned, we have some customers that are slowing down their hiring. They're being more hesitant, they're going on and off holds, and really just trying to sort through what their hiring volumes are going to look like this year. But otherwise, we are just in current course of business, trying to support them with the needs that they have right in front of them.
Derrek Gafford: Yes. Mark, this is when it comes to the PeopleScout business, this is really a story about our customers' hiring volumes coming down. Interestingly enough, it's not because they don't still have open jobs. They do. With all of these customers, they're not sure where things are going. At a company, one of your worst fears is you hire some people in two, three, four, six months later, you're going back to those people and saying, we're sorry. We got to let you go. That's not good for the people, it's not good for the business. And so there are many of our customers that are in that spot trying to understand where things are going and they're saying, we're going to this hold, we're going to pause, we're going to delay this month and everybody is talking to their employees. Everybody has just going to have to get by. Everybody's going to have to get by till we get some more direction on where our own business is headed and that's what we're seeing.
Taryn Owen: Yes. And I would just add one more point. We felt volumes in 2022 with our customers that were really high because they were experiencing turnover like they had never experienced before. And many of those customers have put good plans in place to bring that turnover down, which is just naturally bringing down that turnover in the hiring volume accordingly.
Mark Marcon: That's great color. And then, just given the comment with regards to the one large one having that surge in Q4 the prior year and not having it this year, does that mean that - how should we think about the revenue decline that we ended up seeing here in the fourth quarter? Should that continue into the first quarter? Because presumably that retail client wouldn't have had the same level of surge hiring in Q1 a year ago.
Derrek Gafford: Yes. We're expecting the revenue decline in Q1 for the PeopleScout business to be pretty close to what we had this quarter, albeit from a different path. So, yes, if you took the 16 points of revenue decline and you adjust this for this one customer we talked about, we'd be more at about 9% excluding that customer. However, going into the first quarter, we're hearing from more clients, not anything big but more positive. And so we're getting - we're expecting to be at about the same revenue decline, it's just getting there through a slightly different path than what you saw in Q4.
Mark Marcon: Okay. Great. And then how should we think about the staffing levels internally within TrueBlue for the PeopleScout division? How should we think about the expense profile of that business if things are going to continue along these - this kind of path?
Taryn Owen: Yes. The great news at PeopleScout is that the model is built to scale up and down to meet the hiring volumes of our customers. And so from a recruiter and a recruiting coordinator perspective, we do have a flexible staff that we are able to scale based on the hiring volume. It's built into the model. It's a big reason that customers choose to outsource to us so that we can bring them that level of scalability.
Derrek Gafford: So, Taryn gave you the most important big picture, I'll just give you just a little bit of geography. So just to also understand as we make those adjustments, it won't show up in our SG&A. Our recruiters are actually in our cost of sales. And so what Taryn is talking about, our actions will be taken as it's needed as volumes come down to scale the recruiting resources to the amount of demand to keep the gross profit percentage in that business whole.
Mark Marcon: Great. And then can you give us a little bit more granularity with regards to PeopleReady just in terms of like what you're seeing in different regions, different end markets. Just in terms of what's going a little bit softer. Aside from the retailers that you had already mentioned in prepared us for what else seems to be either changing on the margin, and what are you seeing any green shoots in terms of areas that are, that are picking up more?
Steven Cooper: Yes, if we talk from a geographic perspective, there's not much news there. You can take a look at the states and the trends there, you take a look at them, and it's just very close to the aggregate for the overall PeopleReady business. If you take a look at by industry, there are some different bands, the areas where we see the most pressure if you're taking a look at year-over-year trends transportation services and retail. Those would be the leaders of the pack and those declines would be higher than - the aggregate percentage revenue decline that we reported. Areas that are not experiencing as much pressure and would be below that would be construction manufacturing hospitality still having some declines, but holding up better. The green energy space is one that's been growing for us this year. That's a bright spot Canada's been a bright spot for us Taryn could probably elaborate a little bit more on our green energy plan, but with - some of the legislation that was passed in the Inflation Reduction Act. There's, a lot of incentives around green energy, and that's an area that we're pretty bullish on.
Mark Marcon: And then Steve, can you talk a little bit about where you're, how you're thinking about this, the office program with regards to PeopleReady it sounds like we put some things on hold in terms of centralization. Any updates in terms of their or stats with regards to JobStack and what percentage of the volume is being filled through JobStack now?
Steven Cooper: Yes, I'll kick off that and I'll let Taryn add a little color to that, but we recognize the importance of these branches, this is what's worked for us for 30 years and we understand that and taking care of the employees, to take care of the customers. When they're out there doing two for Tuesday, two people two for two days and that blocking and tackling that it takes to run that business. It's very contact sport where you've got to add your teams focused on the right things and - Taryn and her leaders in PeopleReady are doing that where we're focused on local accounts growing local accounts. I was in a market last week and seeing seven, eight different branch managers and two or three of them that are really great at blocking and tackling and winning local accounts. So it's very possible and that's where our energy is right now. Centralization is a great idea. And that's a great way to save some cost, but not at the cost of losing revenue and losing employees. So we are calling a time out there for a bit. Until we have a few more of a reduction to roll on, what it really takes to roll that out with the power that is good for our customers and good for our associates. And we're close, but we just didn't quite hit the nail on the head. So we're going to pause that for a bit. We're going to stay focused on these branches that's, where we've been, and where we do have service centers they are okay and will ensure that we're doing, okay. There's one big area of our PeopleReady that went first and we close branches and actually, the results are holding pretty steady to the rest of the company. So the reason did not go faster is, we've got to do better for our customers and our associates when having the right technology and having the right training programs and play in those centers. So, we'll come back to it, Mark, but you're not going to hear us beat that drum a lot until we're prepared and do a bit better. Let me ask Taryn will give color there. And she can also talk about how we're doing with JobStack.
Taryn Owen: Yes, absolutely. Steve said it well. We're just squarely focused right now - to ensure that we are providing great service to our customers and keeping our relationship strong. I'll talk about JobStack, JobStack as you know, has been a critical component of the PeopleReady business really helping us connect with our clients and associates through that digital experience operating in a tight labor market JobStack has allowed us to maintain constant contact with our associates. We've got 90% of our associates that are using the app and client adoption continues to increase as well. We've got about 30,000 clients engaged through the JobStack app at this point. So it's certainly helping us with the connection points. And it's also enabled us to achieve some of those cost efficiencies that Derrek talked about earlier in the dollars that we were able to remove from operations in 2020.
Mark Marcon: That's terrific. Thank you.
Operator: [Operator Instructions] Our next question is from Marc Riddick with Sidoti. Please proceed.
Marc Riddick: Hi, good evening everyone.
Steven Cooper: Hi Marc.
Derrek Gafford: Hi Marc.
Marc Riddick: And I want to echo everyone's comments and welcome Taryn, it's good to hear you on the call and looking forward to working with you going forward.
Taryn Owen: Thank you.
Marc Riddick: I wanted to touch a little bit. We've talked - quite a bit about the trends. I was wondering if you talk a little bit about the cash flow and cash management prioritization. And certainly, it's nice to have a good balance sheet in complicated times. So I was wondering if could talk a little bit about maybe where your - thoughts are there for this year. And then I have a couple of follow-ups?
Derrek Gafford: Yes well, when it comes to our capital strategy, not a lot has changed, we are very glad we got such a strong balance sheet. Taking a look at where things might go economically, but we're well prepared for that. So that's not a concern of ours on the longevity of the business if we needed to do something with capital and pull it to support the business. So put a checkmark behind that one. When it comes to acquisitions, we're less interested in acquisitions in our staffing businesses. We think our biggest opportunity right now is to continue to digitalize this business increase our relevance with customers, increase our relevance with candidates and with - the workforce. And that's really our best return right now and we're really pleased with our progress acquiring into that we think would be a distraction and they're just not at any opportunity out there to pull another business into that. Opportunity wise that we can see can out rank what we're doing with our digital strategies maybe if there were some technology that would enhance that be a different story, but just going out and buying more staffing firms and testing them in - isn't really something we're particularly interested in. Now when it comes to the RPO business, that's a different story, with the RPO business there is areas like life sciences or technology that we'd be very interested in getting a bigger presence in. We have those, presence actually with many of our clients. They have technology positions and we're filling them. What we're talking about is adding more specialization and more street credibility from a logo perspective two technology firms or two life science firms and having that really helps us in - landing the deals. When it comes to stock repurchase that's something that we've continued to be interested in, and we do like to be opportunistic in our stock repurchase program. So that's all I'll say on that, but those are our three broad categories of where we want to spend our money, and nothing has really changed from those three.
Marc Riddick: Okay, great. And then I was wondering if you can touch a little bit about the pricing environment and what you're seeing in the businesses and whether or not there's been any impact. I understand the client hesitancy, but maybe if you could talk a little bit about what we're seeing with rates and if there's, been any changes or anything noticeable there as well?
Derrek Gafford: Well, I think the standout from a pricing perspective, really is our PeopleReady business. In our PeopleReady business, these are smaller jobs oftentimes are supplemental their project. And so that's one dynamic we have going for us is we get to reprice this business all the time and our business units are really doing a great job on the audit. I just was looking before I came in here to the call. I was looking back and at some history on positive bill pay spreads. I had one that went back 10 years and - the positive bill pay spreads for the year here at PeopleReady has been 180 basis points. There was nothing that even came close to it. So, the business is really pricey and based on the value that we're contributing to the customers. We think that we're delivering a really good value. As far as the quality of what we're presenting and supply-demand imbalance are eating some of that. Our folks are, needing us even more than they've ever needed us before, and trying to find good candidates. The markets are tight. We know how to find that and it's coming through in the pricing. I don't know. I'll pass over to Taryn, maybe Taryn if you want to add anything to that and make any comments about PeopleManagement or PeopleScout.
Taryn Owen: Yes, I just I'll echo your sentiment Derrek. We've just had great success making sure we're able to get the right pay rates to our associates, and then the bill rates to get the job built on their behalf.
Marc Riddick: Great. Thank you very much.
Operator: And that will end our question-and-answer session. So we may conclude today's conference. Thank you for your participation and have a wonderful evening.